Operator: Good morning, ladies and gentlemen and welcome to Univar Solutions' First Quarter 2022 Earnings Conference Call. My name is Emily and I will be your host operator on this call. [Operator Instructions] I will now turn the meeting over to your host for today's call, Heather Kos, Vice President of Investor Relations and Communications at Univar Solutions. Heather, please go ahead.
Heather Kos: Thank you, and good morning. Welcome to Univar Solutions' First Quarter Earnings Call and Webcast. Joining our call today are David Jukes, President and Chief Executive Officer; and Nick Alexos, Executive Vice President and Chief Financial Officer. Last night we released our financial results for the first quarter ended March 31, 2022 and posted to our corporate website at univarsolutions.com, a supplemental slide presentation to go with today's call. The slide presentation should be viewed along with the earnings release, which has also been posted on our website. During this call, as summarized on Slide 2, we will refer to certain non-GAAP financial measures for which you can find the reconciliations to the most directly comparable GAAP financial measure in our earnings release and the supplemental slide presentation. As referenced on Slide 2, we will make statements about our estimates, projections, outlook, forecasts and/or expectations for the future. All such statements are forward-looking, and while they reflect our current estimates, they involve risks and uncertainties and are not guarantees of future performance. Please see our SEC filings for a more detailed summary of the risks and uncertainties inherent in our business and our expectations for the future. On Slide 3, you will see the agenda for the call. David will start with first quarter highlights and end market trends. Nick will walk through our financial update and then David will close with progress on our business strategy. Following that, we will take your questions. With that, I'll now turn the call over to David for his opening remarks.
David Jukes: Thank you, Heather and good morning, good afternoon and good evening to everyone and thanks for joining our call. Coming off a tremendous 2021 I'm delighted to report record net income and adjusted EBITDA for the quarter thanks to our resilient business model and a hardworking talented team. Driven by solid commercial execution and centered on the customer experience we delivered strong year-over-year growth despite the challenges of constrained supply, dislocated supply chain and the pandemic and expect to deliver a strong second quarter. We remain focused on continued organic and margin growth, maximizing cash flow, as well as inorganic growth opportunities to further leverage our cost structure, strong regional distribution infrastructure, operating assets and digital technologies.  Before reviewing our quarterly highlights on behalf of the company, I want to extend our support to the people of Ukraine and the surrounding areas who are either suffering to the ongoing conflict or providing aid to those who are in need. We are horrified by the disruption, the mood by the generosity, empathy and support being shown by people and companies all around the world. We too made our own contributions to the international community the Red Cross to aid refugees in the region. From a business perspective, we fully support the international trade sanctions that have been imposed and we have already exited our Russian operations, which were less than 1% of our sales. Moving to key highlights from the quarter we delivered record Q1 net income of $181 million and adjusted EBITDA of $319 million. Market share expanded in the quarter as evidenced by a positive win loss ratio and high retention levels for new customers. Our sales of higher margin ingredients and specialties increased driven by strong demand and new supplier authorizations. Our digital investments for yielding real benefit with 47% of our U.S. customers now registered on our e-commerce channels and able to utilize 24/7 self service capabilities. We continue to evaluate M&A opportunities that we could grow at a high organic rate by leveraging our infrastructure on global scale and returned $24 million of capital to shareholders by a share repurchases. In the first quarter, we continued our trend of outpacing the prior year in large part due to our committed market position in key products as well as utilizing our extensive network of facilities and the advantage of our own trucking and rail fleet. We believe our core value proposition for providing security supply safely to our customers and sound products stewardship to our suppliers has allowed us to win new market share. Looking at the end markets, we saw impressive sales growth across all four of our geographic reporting segments. In our ingredients and specialties channel, beauty and personal care revenue growth is accelerated with ongoing product shortages impacting price, particularly within the skin and hair care industries. Pharmaceuticals continuing to deliver strong results for new product authorizations and increased demand for high purity solvents, excipient and active pharmaceutical ingredients. Within our case portfolio, we saw persistent demand for paints and coatings, and construction related chemistry supported by our extensive line card and technical capabilities as the market expands around more sustainable solutions. Specialty surfactants within our home care and industrial cleaning, along with our enzyme portfolio are delivering year-over-year growth, as we built our lubricants and food business. Our value to customers continues to evolve as we formulate solutions and the growth trends in the market and support the demand for more sustainable solutions and clean label ingredients. Within our chemicals and services channel, we saw strong growth across a variety of industrial and markets with continued strength in chemical manufacturing, water and mining chemistry is driven by ongoing supply tightness and higher market demand. Our extensive organic chemistry portfolio has supported growth in these segments. While the ability to leverage our scale has enabled us to provide customers with continuity of supply, although now a much smaller part of our business and as you saw growth, as higher oil prices have accelerated production with increased customer demand for more sustainable solutions in this sector. Our primary strategy across all markets is to leverage our distribution capabilities and provide full lifecycle chemical product management. For 2022 and amidst growing macroeconomic uncertainties we remain focused on factors we can control. We're confident that our chosen strategic priorities coupled with our operational execution abilities will drive expected market share growth and deliver strong results even if chemical pricing level stabilized through the year. Accordingly for Q2, 2022 we estimate an adjusted EBITDA guidance of $270 million to $290 million and increase our guidance for the full year 2022 to $1 billion to $1.05 billion with resulting strong cash flows. Looking further ahead to 2023 and whilst not giving firm guidance at this point, we expect to bring forward the financial targets laid out at last November's Analyst Day delivering the full year ahead of schedule. We believe our geo focus on the customer experience and market share growth as we leverage our asset base, our extensive private transportation fleet, digital capabilities and our long standing commitment to our ESG goals positions us for continued success. We are perfectly positioned to capitalize on the evolving global trends which is local sourcing, sustainable solutions and digitization and believe we have the right people, products, tools and strategy to grow, deliver gross profit at rates greater than general consensus of the economy. And as such believe we are in a strong position to build a long term sustainable shareholder value. Now let me turn the call over to Nick. He will walk you through our first quarter results and our outlook before I comment on our key strategies and we get to your questions.
Nick Alexos: Thank you, David. I'm pleased to share Univar Solutions Q1 financial results update you on our business activities and review our revised outlook for 2022. Sales are up around 37% on a constant currency basis excluding results of divestitures from prior years’ financials and adjusting for the recent LATM acquisition, we estimate net sales to be up 39% and the corresponding gross profit was also up 39% on a constant currency basis. These growth rates were primarily impacted by chemical price inflation, as well as higher industrial demand and market share gains. First quarter adjusted EBITDA of $319 million was up by 80% on a constant currency basis, primarily driven by the higher gross profit. Gross profit growth was partially offset by operating expenses, reflecting higher variable compensation, but benefited by $9 million environmental recovery and $10 million in debt synergies. For our detailed schedules in the appendix, adjusted earnings [per diluted share were $1.07] in a quarter an increase from $0.43 in the prior year's first quarter. Operating cash use of $134 million was higher versus the prior year period, primarily due to the net working capital use and the variable compensation payout relating to the 2021 performance. Networking capital rose to 50% of quarterly sales annualized, reflecting the higher raw material costs impacting both inventories and accounts receivable balances. Capital expenditures for the quarter were $33 million. And as we've previously indicated, there were no further next year integration related expenses, as these were all completed in Q4 of 2021. Our ROIC was 19.7% for the quarter driven by our strong performance and efficient asset utilization and net debt leverage now stands at 2.4 times within our stated goal range of 2 to 2.5 times. These ratios are net of a further $24 million of cash return to shareholders during the first quarter through our share repurchase program. On slide 8 we've aggregated the key metrics across our four reporting segments and we provide details in the appendix. Sales were higher across all geographies, primarily benefiting from chemical pricing, industrial demand, and market share gains. And those results were partially offset by the Distrupol divestiture was last hands results benefited from the sweet mix acquisition. Gross profit and adjusted EBITDA grew across all the regions with strong margins. In EMEA gross profit margins were more impacted by the relative cost inflation, whereas LATM comparatives were impacted by a richer mix in Q1 of last year. LATM EBITDA margins were lower as we have reallocated corporate costs and reflect the SAP implementation in the current year. Turning to our 2022 outlook. We generally expect stable end market demand throughout the year, continued market share gains and solid operational execution. While we anticipate chemical price inflation to stabilize and the related pricing benefits and margins to moderate in the second half, we are continuing to monitor supply chain complexities, geopolitical uncertainties and any signs of recessions. We estimate the net nonrecurring margin benefits from the pricing in 2022 to be $100 million to $110 million, which we expect to be predominantly reflected in the first half of the year’s EBITDA. Offsetting the pricing benefits is an anticipated variable compensation expense in excess of our initial forecast by around $45 million in 2022, which will be reflected ratably through the year. Accounting for all these factors our guidance for our Q2 adjusted EBITDA is a range of $270 million to $290 million and for fiscal year 2022 we've increased our adjusted EBITDA guidance to $1 billion to $1.05 billion. As David noted, we have confidence in our ability to execute and grow share and we are bringing forward our 2024 annual state financial targets, which included an adjusted EBITDA of $960 million and a better than 9% margin into 2023 a year ahead of schedule. This reflects our estimates that in general 2021 chemical pricing levels are the prevailing level versus the prior view of having 2019 as our base level. As mentioned previously we plan to utilize our authorized share repurchase program to buyback amounts related to executive compensation dilution at a minimum and are guiding a diluted share count range of $171 million, to $172 million shares by year end 2022. Let's review some of the cash flow highlights of our 2022 outlook. We will continue to target net working capital of 13.5% to 14% of annualized quarterly sales by year end 2022 recognizing we have been ending the recent quarters above that range. As the supply chain disruptions starts to normalize through the end of 2022 networking capital is estimated to be a source of cash in the second half of the year. Cash taxes to be paid are expected to be higher due to the 2022 taxable earnings levels and the runoff of our NOLs. Given the mix of earnings, we are now expecting our effective tax rates to be in the 26% to 28% range lower than the previous range. We expect that other operating cash expenses will be a cash use of $30 million to $60 million for the year versus the significant source in 2021 and in line with our accruals and cash flow use. And we're expecting approximately $130 million to $140 million of capital expenditures for 2022. Consequently, we are targeting net free cash flow of $400 million to $450 million for 2022 which is approximately a 41% conversion from adjusted EBITDA. We expect to continue with our commitment to return capital to shareholders targeting a multiyear average return of 20% to 30% of adjusted net income. Our record results for the quarter reflect solid execution of our strategies throughout the company as we seek to take full advantage of our leadership positions in the market, build on our momentum and remain focused on growth. We are confident our outlook for the full year 2022 and beyond. I will again emphasize that our teams every day continue to drive strong performance in challenging environments and are very committed to achieving our goals. David?
David Jukes: Thank you, Nick. We're excited about the progress of our business strategy and continued growth in a market share supported by new products authorizations. Our valued supplier partners trust that our network of tenants, chemical engineers, food scientists and application development professionals can successfully address growing trends. In March, we opened the latest flagship innovation location in our solution center network in Essen, Germany. This state of the art facility will serve our European and global customer base across several industries for the product formulation, benchmark prototyping, product performance testing and efficacy, product analysis, shelf life testing and more. Our team of chemists and scientists bring specific expertise in beauty and personal care, homecare, industrial cleaning, pharmaceutical ingredients and clothing, by being able to network with our global peers to develop the latest bespoke solutions. This location will also be used to help our customers and suppliers tackle opportunities to develop more sustainable and clean formulations. We recently created a new global senior leadership role overseeing our sustainable and natural product portfolio. This role will work closely with our global suppliers and industry experts to identify markets and opportunities to launch new and innovative ingredients that help our customers address their sustainability, regulatory and commercial needs and will expand our portfolio. With our strong earnings and our net leverage at 2.4 times, we continue to evaluate selected bolt on acquisitions, as well as continue to target an average capital return of 20% to 30% of adjusted net income to shareholders. Our commitment to being a digital leader continues unabated, as we accelerate the omni-channel approach that is essential in today's hybrid working environment. We believe our current investments in the three areas of customer acquisition, retention and self service are enabling sales growth and reducing our operating costs by providing a competitive note against our regional competition. These investments help streamline the customer experience, as well as increase our agility and responsiveness to the diverse markets we serve. And as we do serve diverse markets, we develop experiences and content that are relevant to those markets for our suppliers and customers. We're combining e-commerce capabilities with our industry knowledge and expertise to offer what we believe is an unmatched omni-channel support for prospects and customers, no matter where they are in that product development or purchasing journey. We extended our digital capabilities to our solution centers to drive innovation and efficiency so we can get our formulations into the market faster, and deliver on a sustained and growing consumer demand we continue to experience. It's all about the customer. They're looking to enhance the scale, agility, speed and data driven decision making. Our digital solution center is a data driven and powered R&D organization that includes virtual collaborations and webinars, extensive custom formulation offering, instant access to our project data and tracking formulation successes. This has enabled a more integrated approach, meaning our chemists and scientists can connect directly with our suppliers and customers to solve the toughest problems across multiple markets and applications without the time expense and health risk of traveling and meeting in person. Our digital vision is clear, meeting customers wherever, whenever, and however they want to engage with us and we're beginning to realize this as a source of sustained competitive advantage. Putting the customer at the center of all we do remains our Northstar as we continue measuring and getting insights into the customer experience through Net Promoter Score. Our overall scores through Q1 remain good with improvements in our Q4 performance and our 2021 baseline performance. This continued improvement in our NPS metric comes despite continued supply chain challenges in the marketplace. We captured over 3800 responses in Q1 through our NPS process and these insights were shared in real time with our sales and functional teams to drive process improvements. Combining our NPS metrics with our advanced analytics capabilities, we launched our customer 360 or the CX 360 tool across the U.S. The CX 360 provides real time visibility of our customers’ NPS feedback, as well as the key performance indicators across several touch points that allow us to better understand the customer experience and our areas of opportunity. We're on track to release this tool to our Canadian and LATM businesses in Q2. Additional predictive work is underway to equip our sellers and managers with proactive insights that highlights our potential areas of opportunity, allowing us to get ahead of an issue and address it proactively. Altogether our digital investments and customer centric approach is designed to maximize the effectiveness and scale of our operations to link data into strategic assets, making this an all round easier and better business partner. Moving to ESG, we've made strides with our agenda and outlined a clear path towards carbon neutrality by 2050. Evidence of our progress includes the following; continued investments in energy efficient technologies and hybrid and electric vehicles to reduce our carbon footprint in line with our net zero commitment. Being recognized by Great Place to Work Mexico as one of the best workplaces for women. Being awarded new supplier authorizations for a variety of more environmentally friendly ingredients and solutions. Continue to put safety first, which is evidenced by our world class safety record and continuing to advance our diversity, equity and inclusion goals. ESG is a priority for us understanding that our home our responsibility. It touches each of our core values and aligns with our vision to redefine distribution and be the most valued chemical and ingredient distributor on the planet, as well as being better stewards of the Earth Resources. We look forward to sharing more about our ESG journey next quarter after release of our latest annual report. Before we come to your questions and to summarize, we delivered record Q1 results and expect a strong second quarter result, although the second half of the year contains uncertainties, we are confident in our strategy execution and operating agility and have increased our expected 2022 full year adjusted EBITDA guidance in the range of $1 billion to $1.05 billion with resulting net free cash flow between $400 million and $450 million. Additionally, we expect to bring forward our 2024 financial targets into 2023 a year ahead of schedule including delivering adjusted EBITDA margins greater than 9% and 50% net free cash flow conversion. We found to use that cash to fund growth initiatives through a combination of high ROI capital investments, selective opportunity bolt on acquisitions, and return of capital to shareholders. We believe we are perfectly positioned to deliver enhanced shareholder value while fulfilling our purpose and commitment to our people and communities. Thank you for your attention and your interest in Univar Solutions. Please stay healthy and safe. And with that, we'll open it up to your questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from the line of Steve Byrne with Bank of America. Steve, please proceed with your question.
Steve Byrne: Yes, thank you. I'm wondering if three months ago David, you thought you were going to just kind of leap over this 10% EBITDA margin and jumped 11% and if not, would you attribute that the key driver to that and I wonder if it's kind of inflationary environment that we're in that you carry about a month's worth of inventory perhaps, is that kind of lag and an inflationary environments a key driver of that? If we didn't have that or like if it were more static or what do you think the margins would have been?
David Jukes: Good morning Steve and thanks for the question. I mean, first out of the gate, look, we've just transformed this business over the last three years and built a really formidable competitive modes and putting the customer at the center of all we do, we think it really sets the stage for significant shareholder value in the future. I didn't think we'd leap over 10 and go straight to 11. But I'm very glad that we did. We really are executing incredibly well, that seems performing incredibly well and clearly market conditions changed a little bit from what we saw three months ago. I mean, we have chemical price inflation above and beyond our expectations. And that's partly offset by variable compensation. We've got very diligent WS&A management. We had an environmental recovery of $9 million, which helped, I think as Nick mentioned in his prepared remarks we had $100 million to $110 million of price inflation, we see in the first half probably half of that was in the within the first quarter. And that's a little more than we anticipated, when we gave guidance. When I think as we go through the rest of the year, we'll see that EBITDA margin drop a little bit, but we'll end up well over that 9% target, which we set in our S '22 goals, which means that we'll have achieved and exceeded both those S '22 goals that we set out a couple of years ago. So we're very excited by that. We're very excited by our ability to execute the way the teams performing and really in a very difficult to predict market environments we think that we can do well, whatever the scenario.
Steve Byrne: And if I could follow up your comment about variable comp, is that really, is that senior management comment, or is the, how broad is that? And the reason I ask is I recall years ago, you really changed the way the sales organization was incentivized but I'm not sure how much control they have over pricing. But has some of this incentive comp is driven by the sales organization also pushing price and profitability.
Nick Alexos: It's spread across the whole business. I mean, it isn't just me, it is spread right down through the whole business. It takes a village to get the kind of results that we do. So over I think over half of our people are involved in some way in this variable compensation scheme. And we spread it right the way down to the organization and I'm absolutely thrilled for them that they're getting their results being paid for the results that hard work over the last 3, 4, 5 years warrants.
Steve Byrne: Okay, thank you.
Operator: Our next question comes from Joshua Spector with UBS. Joshua, please go ahead with your question.
Unidentified Analyst: Good morning. This is [indiscernible] on for Joshua. So just want to talk about you increasing sort of brings the – bringing forward [indiscernible] targets to next year. So he's sort of what is the biggest driver of your higher competence for 2023 just given kind of we have a bit of a worsening macro picture at the moment as to why we're sort of now the right time to pull the target forward? And just in terms of your pricing assumptions for next year. So you flagged kind of the $100 million to $110 million EBITDA benefit this year. Are you assuming that reverses next year? Or what are your kind of your expectations on that side as well. Thanks.
David Jukes: Okay Lucas thanks for the question. Good morning. I think that we expect prices to stabilize through the second half of the year, which is why we think our pricing benefit really is just in the first half of the year. But I mean, why are we bringing our '23 goals into 2024 is because we were very confident in our executing, that we're actually doing really well in our strategy. And that's evidenced by our share gains, the new authorizations, the digital tools that enable us to manage real price changes. And also we're very confident in our abilities there, that we're very confident in our ability to cost productivity and value capture. And I think we looking at all these things really gives us the confidence to say yes, we want to really stick our chest down, we think we can win the '24 goals into 2023. I mean, our business is now really just solely now focused on our customers. We just don't have any anything else to do except focus on the customer and focus on growth putting them at the center of all we do. And that really we think gives us a clear path to deliver long term shareholder value. 
Unidentified Analyst: Great. Thanks. And then just on the ingredients and specialty sales growth in the U.S. So it's sort of noted that that was pretty similar to the base, chemicals growth. But I'm assuming there is some sort of differences there under the hood. So with that, was there a difference in volumes there and was the specialty chemicals up more in the [indiscernible] just getting more benefit from the temporary pricing.
David Jukes: I mean, we grow volumes in the U.S. 4% year-on-year on the quarter. And then in a tight market, tight volatility market, I think that's pretty good. Our growth in ingredients and specialties is largely driven by the new supplier authorizations, as well as then good operating performance by our team in the field. And so they're growing very well, we see lots of opportunities there, particularly as customers are looking to reformulate into more sustainable solutions. So we see a great transition there. About the chemicals and services, guys there will be plenty of opportunities there. It's a really strong business. It's a very local business. And if you think about what we're doing in energy and water treatment, and some of the other key markets, chemical manufacturing, it's a very strong business. So we should expect to see growth across the both those sides of the house.
Unidentified Analyst: Great, thank you.
Operator: Our next question is from Kevin McCarthy with Vertical Research Partners. Kevin, your line is open.
Kevin McCarthy: Yes. Good morning. Thank you, David. If I look at your EMEA segment profit trends, seems as though the sequential uplift there was more or less double what we would normally see on a seasonal basis. And I guess that would be despite your exit from Russia. So can you speak to what drove that that sequential surge to $64 million of EBITDA in EMEA segment?
David Jukes: Yes. Good morning Kevin. Look, I think the business in EMEA the team they're good solid team, they've been together for a while. And they execute incredibly well. And all the difficulties of supply chain that we see in the U.S. we also see in EMEA having our own fleet in large parts of a EMEA helps us and drives advantages there. In the ingredient specialties business, which is a larger proportion of the business in EMEA than it is in the U.S. is a very sticky business with high retention and that business is doing incredibly well at the moment. So whether it's beauty and personal care, whether it's food ingredients, whether it's pharmaceutical ingredients, the teams are really performing exceptionally well in the market that's growing well. So we're thrilled with the growth price there. We are thrilled with the growth rate in INS overall. I mean they are very strong overall and we will see when other people report but I think there is good if no back to the most people in that space, I think things that are just performing incredibly well.
Nick Alexos: Kevin, it's Nick just also added the Russian comment, as we noted Russia was a negligible impact on the business so that was not a factor in the performance.
Kevin McCarthy: Okay and then second question. I want to ask about capital allocation. I look at your leverage stands and your new guidance of North of the billion of EBITDA this year. It seems that leverage is running perhaps 2.1 or so on a pro-forma basis but I look at 2022 as a forecast anyway. And so in that, in that context, can you speak to A) potential to establish with dividends, and then B) the pace of repurchases? I was a little surprised you're just looking to hold the share count about flat this year?
David Jukes: Yes sure. I mean look our board of directors actively evaluates the capital allocation strategy. And that includes assessing your dividend. In 2021, our focus was maintaining that strong liquidity and deleveraging and we're very pleased with our progress as we now come into 2022. We've already figured out as '22 target with a 2.5 times no net leverage. And I think we want to continue to invest really for growth. So high ROI capital projects, as well as a creative tucking in M&A opportunities. I mean we are in a position to and capital to shareholders. We've got that $500 million stock buyback program in place. And I think we bought into the $24 million in this quarter, I think $50 million in Q4 of last year. So we are progressing with that. But the board will continue to look at that capital allocation strategy. But we really want to try and prioritize allocating capital, putting capital to work for growth. And that's a key priority for us.
Unidentified Analyst: I see. Thank you.
Operator: Our next question is from David Huang with Deutsche Bank. David, please go ahead.
David Huang: Hi, good morning. Just for Q2 EBITDA, can it reach the quarter-over-quarter decline from Q1 as I entirely did you come up with price deflation? If so how much is that just given seasonally stronger demand in Q2?
David Jukes: Yes, so remember, in Q1, we had about $9 million in [environmental]. And then something around 60, maybe $65 million of pricing benefit. We think that'll be less in the second half. We think it'll be 100, 110 mostly in the first half. So we think it'd be less in the second half. We won't have environmental recovery. But we'll have some offset from seasonality. So that's how we're thinking about it.
David Huang: Thanks. And then just our acquisition. I know there are some assets out there in the market. But would you consider acquisition opportunities outside of ingredients and specialties?
David Jukes: We're looking at acquisitions, firstly they can add value to our portfolio. And that could be the ability to leverage our footprint, leverage our assets, add a new geography, add some chemistry or technology that we don't have already. So we'll consider acquisitions right across the piece but where we have a really large installed asset base, anything outside an INS acquisition would be really to look at how we leverage the footprint better. So we're going to be very disciplined in what we look at and how we acquire. And I think that we now have a balance sheet which allows us to do some acquisitions which is fantastic. And having transformed the business with the largest acquisition ever done in our industry three years ago, we have a muscle memory of how to integrate these very well. So we think that we are a good host for any potential M&A opportunity. And we're very excited about some of the things that we're seeing out there.
David Huang: Thank you.
Operator: Our next question comes from the line of Laurence Alexander with Jefferies. Lawrence please go ahead with your question.
Unidentified Analyst: Good morning. It's Dan [indiscernible] on for Lawrence. You did talk a bunch about acquisitions and doing bolt on. I was wondering if there's still divestitures that you're looking at to if you can still kind of cherry pick business lines that don't really fit into what your core growth strategy is?
David Jukes: Good morning Dan. So what we have done mostly divestitures that we want to do. We went through that program in the early parts of the S '22 program, we consistently will look at our assets and see whether there's anything there which doesn't really fit in that tight chemicals and ingredients space, but at the moment, we're pretty happy with the asset footprint that we have.
Unidentified Analyst: Okay, and then with the share gains, is there a target you have every year, like 100 or 200 basis points that you expect to add to growth via share gains, or is it kind of more open than that? 
David Jukes: Well, yes, I mean, I'm not going to stop if we get more than 100. We look, I mean the first thing is what we look at, is how can we be easier to buy from and so we're consistently looking at ways to make the customer experience better in our NPS scores and our CX3 60 are so important for us because we want to drive shared growth through customer preference and make it a good buying experience for customers when they do come to us. Now, that also means that we need to operate really efficiently and effectively. And I'm really pleased with the way we're executing these days which gives me the confidence to bring those '23 targets, or sorry, '24 targets forward into '23. So really, it's about operational excellence. It's about having a better buying experience be easier to buy from having that omni-channel approach so we can meet customers wherever and whenever and however they want to interact with us. And we said that we want to grow on INS business, a couple of 100 basis points ahead of general economic consensus, and our CNS business, at least, the general economic consensus, if not 100 basis points better. So they're the kind of guidelines that we set for ourselves. But really, it's about putting the customer at the center of all we do. Having that better customer experience that drives customer preference and having that customer preference then really drive shared growth. And so far, we're being pretty successful at that. And I'm sufficiently confident in the way the whole organization is operating to be able to put those targets out there for the next 18 months or so.
Unidentified Analyst: Thank you very much.
Operator: Our next question comes from Mike Leithead with Barclays. Mike, please go ahead.
Mike Leithead: Great, thanks. Good morning, guys. And again, congrats on a good start to the year. I just wanted to circle back on the back half EBITDA outlook, I think midpoint of 2Q is 280 which would imply something like 215 per quarter in the back half. So is that mostly pricing benefit in the first half rolling off? I think in your comments, maybe you're a bit more conservative, just starting the year around kind of what second half might bring in Europe. Just any incremental color around how you built that up would be helpful?
David Jukes: Sure. Good morning, Mike. Thanks for the question. I think we did we highlighted, firstly, that we think that the extra pricing benefits will be in the first half not the second half. The pricing will normalize more in the second half. But also recognize that if we're paying higher variable compensation, that's ratable across the year. So there will be a little more of that in the second half, versus the incremental margin. And also look, we, the world is a very uncertain place at the moment. And so we're trying to be conservative on how the world is, we don't expect, we don't anticipate a recession in the U.S. We may see some slowdown in Europe, that looks very likely. So we're trying to build that into our thinking as well. But I mean, the world is very uncertain in that second half, but what we're not uncertain about is our ability to execute. We're very confident in our ability to execute, which is why we're able to increase the guidance for the full year higher than we've come out of the blocks within the first quarter and we feel very confident in whatever market conditions we'll be able to do well, but we have to be conservative, given the nature of the world at the moment.
Mike Leithead: Great. Makes perfect sense. And then second, I just want to ask in your sales trends on slide 5 and the new matrix here super helpful by the way, but obviously prices has meaningfully amplifying effect in the quarter. So just hoping you could maybe help us better understand kind of price versus volume or even just kind of how your volumes grew relative to the individual markets in there?
David Jukes: Sure. I mean I think overall volumes are up slightly. In the U.S. they're up 4%. In EMEA they're down but that's what the disposal of the businesses early last year. I mean supplies always still tight. Supply is very constrained. So to be able to grow our volumes at all [Technical Difficulty] demonstrates A) the fabulous supplier relationships that we have and that I'm so grateful that choosing to supply us when product is tight and we have great supplier relationships and that's playing out then the effectiveness of our sales organizations. But overall volumes are slightly up but like most notably in the U.S. are up 4% which is obviously a big driver.
Mike Leithead: Great, thank you.
Operator: Thanks. That's all the questions we have for today. So I'll hand the call back to the management team for concluding remarks.
Heather Kos: Thank you, ladies and gentlemen for your interest in Univar Solutions. If you have any follow up questions, please reach out to the investor relations team. This does conclude today's call. 
Operator: Thank you, everyone for joining us today. This concludes our call. You may now disconnect your lines.